Operator: Hello and welcome to the Aperam Q4 2021 Results. My name is Judy and I'll be the coordinator for today's event. Please note that the call is being recorded. And for the duration of the call, your lines will be on listen-only. However, you will have the opportunity to ask questions later on in the call. [Operator Instructions] I would now like to hand you over to your host, Tim Di Maulo, CEO of Aperam to begin today's conference.
Tim Di Maulo: Hello, good afternoon to all. So, I'm here with Sud Sivaji which is the CFO of Aperam. We welcome you for the Q4 results. I think you had the possibility to listen to our podcast and to watch our presentation. So I will start immediately with your question. Thanks a lot for participating.
Operator: [Operator Instructions] The first question is coming from the line of Christian Georges from Societe Generale. Christian, you are unmuted. You may now go ahead.
ChristianGeorges: Thank you. And thank you for the call [ph]. My first question is on Brazil. I saw yesterday from Mittal some relatively cautious views on the outlook for steel demand in Brazil and conditions. What's your take on the outlook there on your operations?
Tim Di Maulo: So Brazil is going for the -- in the next quarter to have a low, let's say, low season. It's typical for Brazil. So we'll have some reduction in volumes. We see Brazil that have well performed during all the year of 2021. Now some inventory has been rebuilt but they are stable. We are waiting to see what will be the overall situation. But for the moment, our consumption and order book is, I would say, normal for the season.
Christian Georges: Great. And the second question is on your recent acquisition. Obviously, that will be consolidated from the first quarter of this year. So can you give us any update on the market conditions there and what we should be looking forward in 2022?
Tim Di Maulo: So the -- yes, we have started with the new company. So it is very recent, has been -- let's say, the closing has been done in the 27th of December. So we have just started. I'm just with my team, we are visiting and seeing this company. We discover a company which is very dynamic with a lot of skills and quality. The results of the year 2021 has been a satisfactory. There's still a lot of potential because, as you know, the company is composed by different segments. And one of the segments which is focused on the aerospace has not yet recovered but there is just the start of the recovery. What we will work on from now on, it is the way of working together and how to leverage the synergy which we have announced and being in the range of the €24 million for the next years.
Christian Georges: Great. But we're looking at some favorable pricing momentum at the moment, I guess, from last year. Do we also see some volume impact in 2022 or at least '21 or is it mainly price?
Tim Di Maulo: No. I think that this business is a business with relatively low margin per tonne but consistent to what is their -- let's say, industrial value. So they're -- the volumes with -- which are in line with the industry. When the industry is at a good level as of today, they collect and they sell the level of the volumes which are at the, let's say, the normal market as it is today. In 2020, there has been a decrease of the volumes and the collect too, because of the closure of the plant. So it is a business which is very much aligned with the seasonality and the level of demand -- of the real demand because this is all a chain from the collection to the production of the stainless steel which is the demand of the -- this business.
Christian Georges: Great. Many thanks.
Operator: Thank you, Christian for your question. Then our next question is coming from the line of Bastian Synagowitz from Deutsche Bank. Synagowitz, you are unmuted. You may now go ahead.
BastianSynagowitz: Yes, thank you. I've got two questions, please. Maybe could you please let us know how much you're budgeting for the CapEx for a Leadership Journey number 4? And maybe also how much you've been spending so far? Then also maybe what's the budget for Leadership Journey 5 five as far as you can go into details here? And I'm also wondering whether you are, in fact, fast tracking things here to get into the market even quicker. That's at least what I understood from the podcast which you published but it would be great if you could maybe talk us through in a bit more detail. That is my first question.
Sudhakar Sivaji: So Bastian, if it's okay, I'll take the call. Thanks for the question. The first question was on CapEx, right? So on CapEx, you have to look at it this way that last year, if you understand when you came out and announced, we said the Leadership Journey 4 rebound [ph] which we announcing has a CapEx of close to €50 million. And so in today's chunk, if you look at it, we have announced the CapEx for this year of €300 million. Out of which, we have explained what is the ELG part and what is the maintenance part. Remember, on the maintenance part, we included the €24 million CapEx for ELG, right? And then the Leadership Journey 4 comes on top. And so the remaining amount is for Leadership Journey 5 and specific growth projects which we have explained in Capital Markets Day for -- especially our alloys segment. So that's how we split it up. So in terms of -- hopefully, that's clear, right? So that's the split of the €300 million. And in terms of your question on, have we pulled in, yes, we have pulled in. So because you understand the structure of our Leadership Journey, how it's been so far. So it's been almost three years. And then after the three years, we go and announce the next Leadership Journey. And in this case, what has happened is that we see this market opportunity as we have said, we will, in fact, pull it in. That is the reason we came back and said, we will not wait for 2023 and announce the next three years. That's the reason we have been announcing in the Capital Markets Day, you've seen all the investments and the portfolio changes, how we are trying to improve. So that we can achieve this €300 million jump already by 2025. So yes, there is a pull in and that is the reason you are seeing this CapEx already coming in. So in the past, we've been doing sequential. Now we see this opportunity because of growth in niche segments and the portfolio mix improvement and that's the reason. Does that answer your question?
Bastian Synagowitz: Yes, absolutely. If I may follow up just on the CapEx budget, if that's okay. So you mentioned the numbers for last year and for this year. What it was really after was probably more like a holistic picture what your aim to spend ably with what you say, I guess you're basically getting to roughly €200 million. There will obviously be a component in 2023 base case, my assumption would be probably CapEx may be flat. But if you could maybe give us some color on the CapEx budget and how it may be shaping up into 2023 and whether we see some easing afterwards, that would be great?
Sudhakar Sivaji: Look, so the thing is that you asked all this first thing starts with we have a larger footprint with ELG, right? So there's about €25 million CapEx on top of that. That is just directly the maintenance CapEx for ELG. It almost equals is depreciation, like we have said in the past. So that comes on top, right? And based on that, if you look at 2023, we've announced some projects. It's not going to explore into high numbers. So we are looking -- this year, we have given a guidance of €300 million. So for now, you can start looking at this €300 million as the first step in achieving this €800 million -- sorry, €300 million jump in EBITDA which we expect over the next four years.
Bastian Synagowitz: Okay, understood. And my second question would be on capital allocation. And I guess, the way you're guiding for the first quarter and the way things are shaping up here in the stainless cycle, you could easily do, say, between €700 million or €1 billion in free cash flow this year particularly if you consider that you have been building, I think, €500 million of working capital in the Aperam entity and another close to €200 million working capital the ELG entity in the course of the last year. So could you please talk about whether you have set yourself a hard target to take your balance sheet to be debt-free by the year-end? Because I guess you can clearly achieve that? And whether there is anything else on your strategic agenda beyond the CapEx numbers that you've been putting out for this year? Or if you would just allow your capital allocation policy beyond the debt reduction?
Sudhakar Sivaji: So that's a good question. So first, our financial policy remains at the core of everything we do. Nothing has changed even after for our suggestion, right? So that basically means we always look at a stable balance sheet, right and a solid balance sheet which is, for us, the core of everything we do. Then we invest in sustaining CapEx, then we look at growth CapEx or I think acquisitions, if they are interesting external like we did last year. And any excess cash is returned to the shareholders beyond the base limit. So this is our policy, just to recap, okay? So now keep that in mind and now move to the next discussion where we say we have acquired ELG and I've repeated this a couple of times. So I just wanted to say, the net debt of ELG is purely net working capital, okay? So in an industry like ours, what that means is that you're sitting on a pile of precious metal which has a turnaround period of six to eight weeks. So the debt used to finance that is considered as your net working capital which is on a rotating basis, right? So -- and the cash which we achieved out of our operations will go through the same allocation which we have used in the past and from our performance and from our investments and every single time [Technical Difficulty].
Bastian Synagowitz: Sorry, I lost you for the last bit. If you could just repeat that? There was some background noise.
Sudhakar Sivaji: I said that the cash which we achieved from our operations and from our investments end of the day, nothing has changed in our resource allocation policy or return to shareholders.
Bastian Synagowitz: And if I just may follow up with one more question. On the M&A side, is there anything else after the ELG deal which is on your closer again potentially? Or are you first looking to fully integrate just ELG, I guess that will be pretty straightforward. So what's the situation here, if you could give any color?
Sudhakar Sivaji: See, current focus remains, as Tim said, to go look at ELG and always integrate and get value out of that, okay? There might be opportunities which keep coming. We'll keep looking at it but our focus remains on integrating ELG and getting value out of that.
Bastian Synagowitz: Very clear. Okay, thanks.
Operator: Thank you so much, Bastian for your question. The next question in the queue is coming from the line of Ioannis Masvoulas from Morgan Stanley. You are now unmuted. You may now go ahead.
IoannisMasvoulas: Yes, good morning or good afternoon. The first question from me is on more bigger picture looking at the divergence between Chinese and European steel prices which has translated to some additional imports into Europe. Do you see any downside risk for your European operations into 2022 and '23? Or is robust demand in protectionist measures for now sufficient to give you pricing power and defend independent margins?
Tim Di Maulo: So thanks for the question. The situation has evolved a lot in the last couple of years. So you remember that in 2018, '19, we have faced a strong push from imports, due to the fact that the competitiveness of the cost of the Asian due to a particular, let's say, conditions that they have so the -- all the subsidy they have received, the local labor costs, etcetera, [indiscernible] all these costs has given them an advantage and they have dumped them on top into Europe. You have seen and you have followed the fact that since then, since 2018, the European Commission working with Europe has put in place a strong set of measures which are -- which have been -- which have addressed the question of Indonesia and India. And the remaining part of China which was still out of the control in the hot-rolled. So now, let's say, the set of trend is against the most aggressive and dumping country has been put in place and it is there to last. So it will not go down in the next years because it will last at least five years. And we see that there is still a new case on anti-subsidies which is going to be released by the commission. We are -- let's say, we can never see that and we are quite confident that this will happen during the first half of this year. So the situation will be that after all this work, Europe will have the possibility to fight in a level play field much -- in a much better lower play field than it was in the past. And this for the next, let's say, five year asset at least because I don't know if you have noticed also the anti-granting against China which has been the release in 2014 has been renewed for five years as in the middle of 2021. So this means that these kind of measures once they are in place, they can stay unless there is a real reason to believe that the environment has changed that the countries have reduced their overcapacity and what has been because of their dumping has been sold. Now of course, we are living a moment in which everything has been, let's say, good in the sense the fiscal were being aligned. There will be probably some ups and down in the markets of the raw material, etcetera. But what we can expect is that at the same time, some of the cost which has been very high in this moment, like electricity will also normalize in the future. So what is my fundamental thought is that the market is, let's say, in a different shape because of the labor play field and for this, there are still something to come. And second, in the same time, we are continuing to improve our performance and closing also the -- any residual gap in terms of cost with the investment that we are doing and we are accelerating. On top, we have all the development, the growth in products and in specialties which give us the possibility to skip from the direct competition on commodities.
Ioannis Masvoulas: That's very useful. The second question is around your decarbonization targets. Your focus has been on Scope 1 and 2 intensity but some of your peers are also looking at Scope 3. Is this something that you're considering as you update your ESG targets in the next couple of years? Or do you think Scope 1 and 2 is the most relevant metric for now?
Tim Di Maulo: No, we are updating. We are already describing ourselves in the ESGTI. So this will be similar than another and we have the same work. Take in mind that for us, the acquisition of ELG is also a way to be sure that we use all the possible synergy in scoping, try to find the best mix and the best quantity possible of raw material with 0 carbon content.
Ioannis Masvoulas: Understood. And last question on the net debt guidance for Q1 of slightly higher quarter-over-quarter. Does that assume that the full buyback is completed during the quarter?
Sudhakar Sivaji: So Ioannis, first thing and like I was mentioning to Bastian in the call, the net debt guidance always includes on nickel price, right, because we've said that in the past. Any inventory will be affected purely by price at Aperam and now ELG, right? So we are not building inventory or -- we are not reducing inventory. So based on a stable Q1 and a longer order book as Tim has explained. So it's the price of raw materials. And as you remember, last year, 42% is what the raw material nickel went up and 58% was the price, how much ferrochrome went up last year, okay? So it's purely price-driven movement in the inventory, okay? This is first really important to keep in mind for the net debt guidance because nickel has been rising in the past few days and been very volatile back and forth. So that's important. We don't build inventory in our net working capital in Q1, okay? And in terms of our share buyback, we have a plan to execute as mentioned in starting Q2; so this guidance does not include SBB.
Ioannis Masvoulas: Great. Okay, thanks very much.
Operator: Thank you so much for your question. [Operator Instructions] The next question is coming from the line of Tristan Gresser from BNP Paribas. You are now unmuted. You may now go ahead.
TristanGresser: Yes, hi. Thank you for taking my questions. In Q3, I think you flagged some disruptions for your consumer good end markets. How is the situation developed in recent weeks? And also, I think in the prerecorded remarks, you mentioned the softening in demand in Europe. Was that for a particular sector? Or is that just resistant to elevated stainless prices?
Tim Di Maulo: Sorry, I'm not sure that in our guidance we said about any kind of discussion in the demand. There was probably more on the automotive sector, in which there was some shortage of chips. So this is where you are reselling.
Tristan Gresser: I think in Q3, you mentioned for consumer good end markets, there were some supply disruption. I think it was probably around chip. So my first question was that how has this developed into Q4? And what are your expectation for Q1?
Tim Di Maulo: Okay, okay. It was some crosstalk issue due to what we have seen in Europe and in particular in Germany and in Belgium. Yes, there were some problem in transport. Now the situation is much better, as not to totally recover. There is always attention to the transport because of the COVID, the last year has been the fact that many truck drivers have been, let's say, impacted by the factor by the absenteeism due to COVID. But it is not a situation which is really impacting the business, really impacting the market. On top, what has to be said, we have a very large servicing solution in -- so we can provide local service to our customers. So it is not, let's say, we have always the possibility to have a very short lead time for them in case they have any need this help us.
Tristan Gresser: Okay, that's helpful. And so you haven't witnessed any softening of demand in Europe in recent weeks?
Tim Di Maulo: No, not at all. We have not seen at all any softening. We were looking at the COVID rental consequences even in our plant. But even in our plant, we have had no issue because, yes, some absenteeism has increased. But in fact, what we have discovered that it was an absenteeism comparable to the normal seasonal absenteeism when you have the flu and the seasonal, let's say, winter spread in the flu. So nothing that was not under control.
Tristan Gresser: Okay. And the second question on the guidance. I mean, given the good visibility you have on your order books and ASP, you locked in pretty much for Q1, Q2. If energy costs stabilize in Q2 versus Q1, is there any reason why you wouldn't see any margin expansion in Q2? And phrasing it differently, is it more likely that Q1 will mark the peak in terms of profitability? Or could it be actually in Q2?
Sudhakar Sivaji: Ioannis [ph], I think generally, how it works in Europe was that when winter gets over energy cost should go down, right? But despite that, we have already said that for us, the energy cost -- the energy cost peak happened in Q4. And since then, we'll be able to pass on the cost because it's an industry wide performance.
Tristan Gresser: Okay. So there is no reason at this point that for instance, in Q2, you wouldn't see ASP stable to up?
Sudhakar Sivaji: Not because of energy cost discussion.
Tristan Gresser: All right. Thank you.
Operator: Thank you so much for your question. And the next question is coming from the line of Patrick Mann from Bank of America. Patrick, you are unmuted. You may now go ahead.
PatrickMann: Good day and thank you very much for the opportunity. I wanted to ask about something you said on the podcast, Tim which is around the length of the order book not indicating that there's a shortage of steel but rather just kind of supply chain management from your customers? Can you maybe expand on that a little bit? So how should we be thinking about it? I mean does it indicate that they're comfortable about end demand? I mean, can we take anything from it then they're looking at demand? Or are they concerned about rising nickel prices and they're trying to lock in prices? I mean what sort of information should we be taking? Do you think -- do you take out of the order book lengthening that we could also use?
Tim Di Maulo: It's a very good question. So in fact, what is the general ceiling is that demand is there. The final demand from the end user is there. And so the industry is in a good moment. The problem our customers have seen in the last, let's say, 1.5 years have been problems in the transport and sometimes real disruption of supply chain. It has started with the COVID when plant was closed, so they started to see some of their supplier closing down, not in the same time of their plants and then they start to have problems to end supply. So all the supply chain was disrupted during 2020. In 2021, we have had further problems in the supply chain due to the international, let's say, transport, you remember what has been. So as well, it is the queue of the ships in many ports in the world. So all this supply chain which has been a little bit counting has pushed the customer to say, okay, let's have a longer, longer order book, longer purchase, so try to clarify more than a simple couple of months of demand as it was the usual way of buying. And they have gone two or four months, sometimes five months of order book. This is, let's say, the behavior to reduce the risk knowing that the subject center, let's say, the point is that they have a certain trust on what is the demand for their goods, because it's not -- they will not have taken the risk to being long in the processing part without having a certain certainty that they could be long also in the sales part. On top, we see that the demand for our service center is very dynamic. So we still have customer that can ask for a short delay. So they have no problem in finding products in one week or less or 15 days. So the market is in -- from our point of view, a market which is not only on a good level of demand but also on good level of supply.
Patrick Mann: Understood. Thank you.
Operator: Thank you for your question. [Operator Instructions] The next question is coming from the line of Rochus Brauneiser from Kepler. Rochus, you are now unmuted. You may now go ahead.
RochusBrauneiser: Yes, hi everyone. A few questions from my side. Tim, maybe let me go back to the margin evolution in Q1 and Q2. Just to get that right, if the energy cost has peaked in the Q4 and it's not so much of an incremental issue for the current quarter, all the moving parts for the current -- for the guidance in Q1 because you have the €345 million as a starting point, minus maybe €15 million, €20 million for ELG, so we are pretty much flat compared to the real clean level of Q4 which was €315 million without the €30 million. How does that fit with the rising ASPs? And if I look at the spot price in Europe, for example, we have seen price escalation in the second half of last year on the spot market which comes with a 3- to 6-month lag because of the order book. So in essence, I should expect that the pricing is still getting firmer or there is still kind of an acceleration. And if it is not the energy hitting your margins, what are the other components? I need to keep in mind about this kind of flat to slightly up guidance.
Tim Di Maulo: So maybe Sud will explain better the €345 million because there should be some kind of misunderstanding. So in the €345 million, there is no ELG for the moment. ELG will be presented in our figures from Q1, okay? So all the 2021 has been without the figures of ELG which are at the end in the range of €58 million is EBITDA. So now what is happening in terms of price. We have always said prices are a pass-through of the cost that we have on raw material and also on energy, plus the margins, okay? So what we are seeing is confirmation of a price trend over Q4 that will be reflected in Q1 is all the trend that has been pushed on the price to pass-through all the costs to the market, okay? So this allow us to have a very strong confidence today. We have strong confidence in the guidance. We have presented because remember that this guidance is clearly a new record. We are at the fifth year -- five year well in mind recording in terms of results in a row. Maybe -- is that clear?
Rochus Brauneiser: Okay. I'm not sure. When you said -- when you're giving the guidance for Q1 of €345 million or better. In the Q1, I saw the €345 million is including ELG because it's consolidated for the sale of Q1 here.
Tim Di Maulo: Yes.
Rochus Brauneiser: But it is still the case. Still, the question is on the spot market last year, you had maybe €1,200 of a base price in Q2, maybe, I don't know, €1,700 or €1,600 in Q3 and then up to €2,000 in Q4. So there is still a strong dynamic on the pricing and you're passing through the raw materials through the surcharge mechanism and you get the base price as it is. So I'm sure whether then there's more of the energy side hitting the balance sheet or anything else? This is what I'm kind of [indiscernible].
Sudhakar Sivaji: So first of all, Rochus, let me just clear up the baseline. And I think you got it but I'd still like to -- if it's okay, spend a minute on explaining the baseline. Q4 came at €345 million, right? And after €345 million, we said there were some year-end accounting effects. And the year-end accounting effects had a positive impact on our P&L, right? So one of that was the provision reversal for a Leadership Journey related charge which we had booked two years ago and because of the current economic environment, we decided to reverse it. And 2/3 of it was because of energy costs which we had in Q4 which because we produced into inventory like we had guided in Q4, right? And this inventory would carry the costs. So it's a positive effect in Q4. And typically, it should turn into a negative effect in Q1. But because we are able to pass-through the prices, there is no negative effect in Q1. Does that make clear?
Rochus Brauneiser: That makes sense, yes.
Sudhakar Sivaji: And the other part is you're seeing on the price side, the CRU price is increasing, I guess that's what you're referring to, right? So remember that we have been reiterating the last three quarters that the demand dynamics haven't changed, okay? And the supply chain situation and the import situation hasn't changed. So the -- one of the very few parameters which can contribute to price, a base price increase is the input and raw materials but also in consumables like energy, okay? So that's what we keep repeating that. It is an industry-wide phenomenon. When energy cost increases in Europe, more -- all players are at the same level. And as a result, the base price would reflect that. Does that make it clear?
Rochus Brauneiser: That makes sense, yes. The other question is on your dividend. You increased the dividend from €1.75 to €2. In essence, you could have done more. So maybe you can talk a little bit about your preferences for dividends versus share buybacks going forward? Do we have any sort of payout ratios in mind, suite cycle, how much should be distributed through the dividend and as a minimum threshold and how much share buybacks?
Sudhakar Sivaji: So Rochus, you -- I mean, you definitely follow us quite closely, so you know that we follow a progressive dividend policy which basically means that any rise in dividend we do, we should be confident over the cycle to maintain that dividend. That's the first cornerstone of that policy. The second cornerstone like we explained in the podcast why we have raised this dividend is because it reflects the genuine improvement in profitability because of our addition to ELG -- sorry, addition of ELG to our company at this stage. So remember that we have for your model, we have announced €55 million as the base EBITDA over the cycle of ELG, right, before synergies and we said synergies will take three years. So, if you take that €55 million and I've given you a couple of times the CapEx amount for ELG and if you subtract the financial charges and possible taxes to come to a net income level, that would be approximately equal to the increase in the structural profitability. And we said that we will not retain any of this increase in structural profitability inside the company. And as Aperam's policy is that we pass cash to shareholders if we don't retain it, we have decided to pass this through this increase, okay? So that's the reason for the specific increase of €0.25. So one-to-one increase. And we have announced a plan for the future, right? And in the Capital Markets Day, we spoke about it in detail, where we will increase our base profitability by €300 million. And so as this happens, I'm sure the Board will come back and look at how the return to shareholders progresses.
Rochus Brauneiser: Okay, good. Very good. Then on the tax guidance, you flagged in your outlook, the 20% effective tax rate. Can you help us with the kind of cash tax we should expect in 2022?
Sudhakar Sivaji: So the cash tax hasn't changed. You have to just keep in mind that in 2020 and 2021, we had a special effect from the utilization of PIS/COFINS credits in Brazil. And that's the reason the cash tax was a little lower in these two years. But typically, it's about around 50% of the P&L tax which we've guided to.
Rochus Brauneiser: Okay, that makes sense. And then finally, on the overall earnings outlook for this year. When I look at the EBITDA trajectory of 2021 which was steadily going up for you. Now we are having a starting point in Q1 which is higher than the exit rate of Q4. What is your kind of directional feeling at the moment, the kind of negative slope like the upward slope in last year? Or how is your directional thinking about EBITDA evolution at the moment?
Sudhakar Sivaji: Rochus, unfortunately, I do not have this visibility for the year, so to speak. I can talk about Q1 and whatever items, we can talk about Q2, I've provided guidance on specifically on order book or energy costs, right? So around what prices will do. So that we have talked about. But for the year, we unfortunately, at this point of time, I hope you understand, provided guidance.
Rochus Brauneiser: Okay, fair enough. Thank you very much.
Sudhakar Sivaji: You're welcome. Thanks.
Operator: Thank you so much for your questions. And the next question is coming from the line of Krishan Agarwal from Citigroup. You are now unmuted. You may now go ahead.
KrishanAgarwal: Hi, thanks for taking my questions. Most of them have been already asked. A quick clarification on the guidance. So I mean, correct me if I'm wrong in my understanding here. The €345 million EBITDA for Q4, that doesn't include any contribution from ELG but that the guidance for Q1 for slightly higher does include the ELG contribution. Is that the better way to look at it?
Sudhakar Sivaji: Yes, that's exactly what we have said in the slide, Krishan. Yes.
Krishan Agarwal: Okay. And then a slightly longer-term question. So you guided quite a growth CapEx in 2022 and '23. Can you also talk about how much of the volume increase will be there? I mean I'm assuming that the stainless volume sort of stays flat around 2 million tonnes per annum but then the alloy volumes grow with the alloy growth Stage 1 and grade Stage 2. So how should we think about the longer-term normalized alloy volumes, something around 40,000 tonnes? Or 30,000 tonnes to 35,000 tonnes remains a range for alloy volumes as well?
Tim Di Maulo: Okay. So as you know, we don't give any guidance in volumes. For us, the subject is the value. And in particular, what we have presented and the way you have to look at our premise to creating more value in two directions, the expansion and the growth in what is the specialties and the expansion of the growth of what is the vertical service to customers with S&S and on the part of the supply chain with ELG. So volumes are there. They are very important for to produce. They are, let's say, in particular, the, let's say, the symptom of a good market. But fundamentally, what is our target is creating value and creating value when we look at the growth, it's mainly a growth on the added value and new products and the supply chain.
Krishan Agarwal: Okay, okay. Pretty clear. Thanks, all. 
Operator: Thank you so much for your question. And the final question is coming from the line of Tristan Gresser from BNP with a follow-up question. You may now go ahead.
TristanGresser: Yes, hi. Just one follow-up on the trade case in Europe. Do you...
Operator: Sorry to interrupt Mr. Tristan, your line cut off. Give me one second. Go ahead, Tristan.
Tristan Gresser: All right, perfect. Yes, just one follow-up on the trade case in Europe. Do you believe the antisubsidy case against Indonesia CRC is strong. And I'm asking that because how is it different from the similar anti-subsidy HRC case that was ultimately dropped by the European Commission. And if this is a stronger case and anti-subsidy practices are confirmed, would it then be a possibility to reopen the old HRC case as well?
Tim Di Maulo: So you are right that anti-subsidies have been always a difficult case in Europe. And in the past, I see you are informed, there was on hot-rolled and has been pushed back by the Commission for a certain number of technical reasons. This time, the Commission has presented its plan which has never happened before, okay? With duty which are there which are consistent and let's say, relevant versus the level of subsidies later that have been -- has been discovered. And the only final step will be the approval by the parliament and benefit. But in this case, the Commission is presenting the subsidies. At the end, this means that they are convinced, okay? This is completely different from what has happened in the past. So let's say, we are at a different stage and we can have some confidence that this will happen. Then on the fact that this will apply to other products, etcetera, it is too early to decide. But subsidy or subsidies, this means that the state is giving, let's say, unfair subsidy and noncompliance subsidy versus WTO to some producers and this will apply to any kind of production of this producer but this is too early to be discussed.
Tristan Gresser: Okay, very interesting. Thank you.
Operator: Thank you so much for your questions, everyone. I would now like to hand it back over to your host to conclude today's conference.
Tim Di Maulo: Okay. So thank you very much for this call. You have seen that we have presented to you the result of this quarter and the full year has been a year extremely exciting. But what is the most exciting for me and my team is what will allow us to do for the future. You have seen that we are focused on the new acquisition of ELG which will ramp up and for which we expect a lot of progress in the short term. We are, let's say, ramping up and finalizing the ramp-up of our investment gains that some of you have visited but we have more that is ongoing. So we have presented the new project and this has been accelerated in line with our expectation in the market. We are presenting shareholder returns which are also in line with the results -- the results of the company. So today, we look with confidence at this 2022. And we will meet again and share with you our next steps in the following days for Q4 earning release and in the future quarter. Thank you very much and see you next time.
Operator: Thank you, everyone, for joining us on today's call. You may now disconnect your handsets. Hosts, please stay connected.